Operator: Good afternoon. This is the conference operator. Welcome, and thank you for joining the TF1's 9 Months 2025 Results Conference Call and Webcast. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Pierre-Alain Gerard, Executive VP, Finance, Strategy and Procurement. Please go ahead, sir.
Pierre-Alain Gerard: Thank you very much. Good evening, everyone, and thank you for joining us for our 9 months results presentation. Let's start with our key highlights on Page 3. Audience first. In the first 9 months, the TF1 Group made progress in all targets year-on-year and reinforced its leadership. Audience share rose by 0.8 points to 33.8% among women below 50 and by 0.7 points to 30.7% among individuals aged 25 to 49. The TF1 channel maintained its high audience share in the 4+ target, reaching 18.8%, up 0.2 points year-on-year. With a distinctive editorial stance on the latest international political and economic news, LCI has achieved an audience share of over 2% in the 4+ target since it moved to DTT Channel 15 in June, already ahead of our year-end expectation. In digital, TF1+ attracted 36 million streamers per month on average in the first 9 months and 41 million streamers in September 2025, a new record. Second, our financial performance. The group's consolidated revenue amounted to EUR 1.6 billion in the first 9 months of 2025, stable year-on-year. This amount includes an advertising revenue of EUR 1.1 billion. The 2% decline compared to last year reflects an uncertain and unstable environment. Also bear in mind that the first 9 months of 2024 had been a strong period for the group, fueled by a dynamic market in H1, the broadcasting of the Euro and the halo effect from the Paris Olympics. Now focusing on TF1+. Advertising revenue maintained its strong growth momentum, rising by 41% year-on-year to EUR 134 million. Regarding our COPA and net profit, excluding tax surcharge, we successfully managed to mitigate the impact of ad market headwinds as they only declined by a few million euros compared to last year. We will come back to this in more detail later. The group also maintained a strong financial position with net cash of EUR 465 million at September with an increase of more than EUR 100 million year-on-year. Capitalizing on its successful strategy, the group confirms the following 2025 targets: strong double-digit revenue growth in digital, aiming for a growing dividend policy in the coming years. The current phase of political and fiscal instability in France adversely impacted the advertising market in October, linear in particular. First indications for November are also below expectations. Given this context and with limited visibility until the end of the year, the group has adjusted its 2025 guidance for margin from activities to a level between 10.5% and 11.5% versus a broadly stable margin compared to 2024. This margin level remains solid given adverse market conditions combined with the rollout of our digital strategy. Let's go now into more details. On today's agenda, we'll first give you an update on our business segments. We will then provide additional information on our financial results. After that, we'll update you on our strategy and outlook, and we'll close with a Q&A session. For those of you who are joining us by phone, note that we are broadcasting this presentation as a webcast. You can also find it on our corporate website. Let's start with a quick update on our linear streaming and studio businesses. Now turning to Page 6 and our audience performance. Reach is the key underpinning factor of the value we deliver to customers. In the first 9 months, TV's overall daily reach stood at 76%, while TF1 Group maintained an unrivaled position, covering 52% of French people every day, well above any other media such as YouTube, SVOD services or TikTok. The group maintained its leadership across commercial targets and the TF1 channel retained a significant lead over its main commercial competitor, ahead by 9 points among women below 50 with an audience share of 23%, ahead by 8 points among individuals aged 25 to 49 with an audience share of 20%. Over the first 9 months, the TF1 channel recording high ratings in its genre, ranking #1 in French drama, news, entertainment and movies. Let's turn now to our streaming activities on Page 7. Our strategy is to leverage the group's solid content lineup to address both linear and non-linear expectations. 20% of total viewing comes from non-linear perception among individuals aged 25 to 49 for the TF1 channel. This share is even higher on our strong franchises, reaching, for example, more than 80% for the reality TV genre and more than 50% for our daily soaps, Plus Belle La Vie and ICI Tout Commence. Now looking at the right-hand side of the page, let me give you an update on the platform's building blocks. On consumption, TF1+ attracted 36 million streamers per month on average in the first 9 months and hit a new monthly record with 41 million streamers in September. Overall, streamers watched 834 million hours of content on TF1+ in the first 9 months of 2025 according to Mediametrie, 1.4x the figure achieved by the Second Rank platform. In terms of site-centric figures, which cover all streaming usage not captured by Mediametrie such as specific AVOD and aggregated content, streamed hours rose by 14% year-on-year. On ad inventories, ad load reached 5 minutes and 4 seconds per hour on average in the first 9 months versus 5 minutes on average in 2024. On the value front, CPM reached EUR 13.2 per CPM, a 1% increase year-on-year. As a result, advertising revenue generated by TF1+ rose by 41%, reaching EUR 134 million at end September. On next page, after launching TF1+ in January 2024 and having positioned it as the advertising -- in the advertising market as a premium alternative to YouTube, the group has entered the second phase of its strategic plan. The first key aspect of the second phase is the new form of monetization on TF1+ involving micro payments. Streamers can now take advantage of new features, giving them a la carte access to a wide range of high-quality works and content in return for small payments. Since September, streamers have had access to previews of our top programs. This feature has been rapidly adopted by TF1+ streamers with close to 200,000 transactions recorded over the month of September. These initial figures are very promising, especially since the micro payment offer is not yet available across all telcos and only covers a small portion of our content. On the TF1+ app, the only environment where this offer was fully deployed in September, this already corresponds to 2.6 transactions per converted streamer. We have continued to enrich our offer with new features like ad-free content and exclusive live channel for Star Academy launched in October. Now turning to Page 9 for an update on Studio TF1. Its revenue totaled EUR 213 million at end September, growing by 11% year-on-year, supported by a good momentum, notably in the third quarter. COPA reached EUR 20 million at end September, up EUR 13 million year-on-year. I will come back to this in more details in a few minutes. Highlights in the first 9 months included the launch of TF1, TF1+ and Netflix of our daily series Tout Pour La Lumiere, All For Light in English, the production of Flemish version of Dancing with the Stars for the Belgian channel VTM, the delivery of the documentary series From Rockstar to Killer to Netflix, the third season of Memento Mori for Prime Video, the theatrical releases of the movie, Jouer Avec Le Feu, Avignon and Yapas de Reseau. Let's move now to a more detailed breakdown of our financial results for the first 9 months of 2025. You will find additional information in our consolidated financial statements and their notes as well as our management report, all of which are available on our website. First, a word on revenue on Page 11. The group's consolidated revenue amounted to EUR 1.6 billion in the first 9 months of 2025, stable year-on-year and above the company compared consensus. Revenue from the Media segment declined by 1% to EUR 1.4 billion. Advertising revenue amounted to EUR 1.1 billion, down 2.2%. In linear, the trend in the third quarter was similar to that seen in the first half, with spending by advertisers adversely affected by an uncertain environment. By comparison, the first 9 months of 2024 had been a strong period for the group due to the dynamic market in H1, the broadcasting of the Euro and the halo effect from the Paris Olympics on our revenue. Despite these headwinds, TF1 gained market share as the overall linear market at end September is estimated to be down by a low double-digit percentage year-on-year. In terms of digital advertising revenue, TF1+ continued to demonstrate its appeal for advertisers, rising by 41% to EUR 134 million in the first 9 months of 2025 and significantly outperforming the market. And again, let me remind you that we only disclose here advertising revenue and not a broader streaming revenue, which would be much higher. Non-advertising revenue in the Media segment amounted to EUR 264 million in the first 9 months, up 5% year-on-year. Revenue from interactivity and music and live shows in the first 9 months offset the impact resulting from the deconsolidation of My Little Paris and PlayTwo in the third quarter. Studio TF1's revenue totaled EUR 213 million, an increase of 11% year-on-year. That figure includes a EUR 25 million contribution from JPG compared with EUR 8 million last year. As a reminder, JPG has been consolidated in Studio TF1 financial statements since the third quarter of 2024, and its activity is skewed towards the second half of the year. Excluding JPG, Studio TF1's revenue still rose in the first 9 months, notably thanks to premium deliveries to platforms and successful theatrical releases, as mentioned earlier. COPA amounted to -- on Page 12, COPA amounted to EUR 191 million in the first 9 months of 2025, slightly declining by EUR 7 million and above the company compiled consensus. Margin from activities stood at 11.9%. As a reminder, in Q3 2024, COPA included a EUR 27 million capital gain from the disposal of the Ushuaïa brand. In Q3 2025, the group completed the disposal of the disposals of My Little Paris and PlayTwo that we announced during our H1 results, which generated a capital gain of EUR 17 million. Excluding those items, COPA in the first 9 months of 2024 rose slightly year-on-year by EUR 3 million. The Media segment reported COPA of EUR 171 million. This represents a year-on-year decrease of EUR 20 million, resulting from a decline in advertising revenue and lower gains from the disposal that I just mentioned. Studio TF1 generated COPA of EUR 20 million, a strong increase of EUR 13 million, notably thanks to the JPG's contribution. Studio TF1 margin was up 5.7 points year-on-year, reaching 9.4%. Regarding the income statement on Page 13, I have already commented on consolidated revenue and COPA. Looking further down, operating profit totaled EUR 175 million, broadly stable year-on-year. That figure includes EUR 9 million in amortization charges relating to intangible assets arising from the JPG acquisition and EUR 7 million in nonrecurring expenses related to the group's digital acceleration plan. Net profit attributable to the group, excluding exceptional tax surcharge, was EUR 138 million, slightly down EUR 8 million. Compared with last year, net profit includes lower gains from disposals and a decrease in financial income due to lower interest rates. Income tax expense for the first 9 months included an exceptional contribution levied on French companies under the 2025 finance bill. This exceptional EUR 15 million tax surcharge for the period comprises EUR 10 million based on 2024 taxable profits fully recognized in Q1, as you remember. Moving on Page 14 on the net cash position. At September 2025, the TF1 Group had a solid financial position with net cash of EUR 465 million, up EUR 101 million year-on-year. Our solid balance sheet is an asset to navigate the volatile environment and keep rolling out our digital road map. Note that the EUR 238 million in CapEx compared to EUR 183 million last year, but it includes EUR 27 million proceeds from Ushuaïa. The difference between EUR 238 million and EUR 210 million of 2024 reflects future deliveries for Studio TF1. The EUR 41 million decrease compared with end December 2024 mostly reflects free cash flow after working cap of EUR 84 million and the dividend payment by TF1 of EUR 127 million in April. Before turning to our outlook, let me wrap up the key takeaways of our first 9 months. In a very uncertain and unstable environment, the group successfully tackled advertising market headwinds, thus mitigating the impact on COPA. First, we managed to gain market share across the board in a more challenging market than expected, underlying the competitiveness of our ad sales. Digital grew by 41%, significantly ahead of the market, while the decline in linear was limited to 6% compared with an estimated low double-digit percentage market decline. Second, we keep a tight control on cost, as illustrated by the EUR 9 million decrease in programming costs and the savings achieved in operational costs. And on the other hand, we safeguard the resources required to fuel the second phase of our strategy. Lastly, we actively manage our portfolio, both on media and on studio, as illustrated by the disposals of My Little Paris and PlayTwo and by the successful integration of JPG. Let's now have a look at our targets for the rest of the year. First, in terms of lineup, we will maintain in Q4 the best offer of free family-oriented and serialized entertainment as illustrated by the return of Star Academy, a 360-degree experience that will be broadcast across TF1, TFX and TF1+ alongside a social media presence that will drive strong engagement, particularly among younger targets. Q4 highlights also include the new premium French drama, Monmartre as well as 6 matches involving France National Football and Rugby teams. About Rugby, as you know, TF1 has secured the rights to broadcast the 2027 Rugby World Cup and the 2026 and 2028 Nations Championship as well as the 2027 and 2029 Autumn Nations Series. The deal reinforces TF1 Group's long-term strategy to make the most popular sporting events available to French viewers on free-to-air television. As you know, our objective is to sustainably finance this premium lineup going forward. After launching TF1+ in January 2024 and establishing it as a premium alternative to YouTube, the group is in the second phase of its strategic plan, which involves 3 pillars. The first pillar of this new phase is micro payment. As mentioned earlier, this feature, which was launched in September 2025, previews has been rapidly adopted by TF1+ users. New features, ad-free content and an exclusive live channel for Star Academy were launched in October. And again, if you do the math, the additional revenue potential of this initiative is significant if a portion of our monthly streamers transact several times a month. The second pillar is the extension of the group's distribution strategy illustrated by a landmark deal signed with Netflix. Starting in the summer 2026, we will show all 5 of our linear channel on Netflix as well as more than 30,000 hours of content available on demand. This unprecedented alliance will unlock additional reach for TF1 as a significant portion of Netflix subscribers consider Netflix as their primary source of TV entertainment. In addition, TF1 will benefit from Netflix's unrivaled expertise in content recommendation. Finally, the third pillar of this new strategic phase is the expansion of TF1+ distribution among French speakers worldwide. TF1+ has been available in Belgium, Luxembourg and Switzerland since 2024 and in 22 French-speaking African countries since June 2025. Moving on Page 18. Capitalizing on its successful strategy, the group confirms the following 2025 targets: strong double-digit revenue growth in digital, aiming for a growing dividend policy in the coming years. And the current phase of political and fiscal instability in France is undermining the confidence of economic actors and is resulting in a more challenging advertising market than expected, particularly in linear. The general trend seems to be the same across Europe, but the magnitude of the decline in October, low double-digit percentage appears to be specific to France. First indications for November are also below expectations and visibility remains limited until the end of the year. At this stage, we conservatively assume that it will be the same in December. In this context, the group adjusts its 2025 margin from activities target from broadly stable compared to 2025 to between 10.5% and 11.5%, a solid margin level. Many thanks for your attention, and now I'm ready for your questions.
Operator: [Operator Instructions]
Pierre-Alain Gerard: We have a written question on the platform here. So it is about the organic growth of Studio TF1 in the third quarter of the year. So the perimeter effect is EUR 11 million over the 9 months. And on a like-for-like basis, the growth is 6%.
Operator: [Operator Instructions] At the moment, there are no questions from the phone. I'll turn the call back to you for any closing remarks.
Pierre-Alain Gerard: Thank you very much. So to summarize these results, what you need to bear in mind is that we managed to gain market share across the board. We have a tight control on cost and active portfolio management, which led us to gain market share both in linear and in digital. So in this turbulent market, this is why we adjust the margin between 10.5% and 11% which is still a strong level. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.